Operator: Good morning and welcome to Worthington Industries' first quarter earnings results conference call. (Operator Instructions) I would like to introduce Miss Cathy Little, Vice President of Corporate Communications and Investor Relations. Miss Little, you may begin.
Cathy Little : Thank you and good morning, everyone and welcome to our quarterly earnings conference call. Before we get started, I want to remind you that certain statements made in this conference call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ from those suggested. Please refer to the news release for more detail on factors that could cause actual results to differ materially. For those who are interested in listening to the call again, a replay will be available on our website, worthingtonindustries.com. On the call today are John McConnell, Chairman and Chief Executive Officer; George Stoe, President and Chief Operating Officer; Andy Rose, Vice President and Chief Financial Officer; Bob McMaster, Senior Financial Advisor; and Richard Welch, Controller. John McConnell will start us off. John.
John P. McConnell: Thank you, Cathy. Welcome to all of you participating and those of you listening this morning. All things considered, we believe we had a good solid quarter and we continue to feel very good about our operating performance throughout this period of historically low volumes. I will now turn the call over to Andy Rose, our Chief Financial Officer, and George Stoe, our Chief Operating Officer.
B. Andrew Rose: Thanks, John. Our first quarter of fiscal 2010 ended on August 31st with earnings of $0.08 a share. While we saw some improvement from the previous quarter, we were down substantially from last year’s record first quarter. Net earnings decreased $62 million from the prior year first quarter to $7 million. Net sales fell $496 million from the prior year to $418 million. Lower volumes in all business segments accounted for $364 million of the sales decline, most notably in metal framing and steel processing, where demand declined dramatically in the construction and automotive sectors. Average selling prices also declined from the prior year due to falling steel prices, accounting for $132 million of the year-over-year decline in sales. Gross margin declined $103 million from the prior year, primarily as a result of the lower volumes experienced in all of our business segments. SG&A expense was down $13 million from the prior year, due to reduced compensation expense resulting from headcount reductions and decreased profit sharing, which declined on lower earnings. In addition, we temporarily reduced pay and suspended our 401K match. As of quarter end, we have reinstated normal pay rates and the 401K match. Restructuring charges were $4 million compared to $9 million in the prior year. The majority of these charges were related to facility closures in our metal framing segment, one of which George Stoe will elaborate on in his comments. Interest expense declined $3 million from the prior year due to lower average short-term borrowings and the repurchase of long-term notes completed in June. Equity and net income of unconsolidated affiliates of $16 million declined $9 million from the first quarter of fiscal 2009. Wave equity earnings of $16 million declined 27% from last year’s first quarter. Income tax expense was down $27 million due to lower quarterly earnings. The effective tax rate for the quarter was 33% versus 31% in the prior year quarter. The change in the effective tax rate is due to the change in the mix of income among the jurisdictions in which we do business. Now to the balance sheet -- total debt was $215 million at quarter end. Short-term borrowings totaled $115 million and long-term debt was 109. The company also securitized $55 million of its trade receivables as of August 31, 2009. On June 12th, we redeemed $119 million of the $138 million outstanding 670 notes due December 1, 2009, leaving $19 million of the notes outstanding at the end of the quarter. The repurchase was funded by a combination of cash on hand and borrowings under existing credit facilities and was done to drive down interest expense. Availability on our $435 million revolving credit facility that matures in May 2013 was $340 million at quarter end. We are in good shape with our debt covenants. At quarter end, our total debt to capitalization ratio was 29%, well below the maximum allowable of 55%. Our interest coverage ratio was 5.7 times, well above the required ratio of 3.25 times EBITDA to interest expense. We have been successful in maintaining an appropriate cushion on our covenants, thus preserving our access to low-cost capital. Assuming no major changes to our capital structure, we are well-positioned to continue to improve our interest coverage. From a credit standpoint, we have successfully navigate the bankruptcies and ownership transitions related to the Detroit automakers. However, there have been and will continue to be smaller work-outs in the tier one and tier two supplier base. Our credit team continues to do an admirable job and while we did not have additional bad debt expense this quarter, there are still customers that we are monitoring very closely. We generated cash from operating activities of $96 million during the quarter. That’s an increase of $74 million from the same period of fiscal 2009. There was significant cash generated by large decreases in inventories, due mainly to lower sales volumes and declining prices. The company also received close to $8 million in tax refunds during the quarter related to fiscal 2009. We spent $8 million on capital expenditures, primarily on upgrades to production lines in the pressure cylinders segment, compared to depreciation and amortization of $16 million. I will now focus on the three primary business segment results for the first quarter, beginning with steel processing, which represented 43% of revenue this quarter. Steel processing sales fell to $182 million from a record $460 million in last year’s first quarter. The year-over-year decrease was due to dramatic volume and price declines, although we did see an up-tick in volume this quarter from the cash for clunkers program. Operating income for steel processing was $1 million compared to a record $44 million last year. Volumes were down 47% versus the prior year quarter but up 8% versus the prior quarter. The mix of direct versus total processing was 58% to 42% from the quarter. Total days in inventory declined from 80 days a year ago to 53 days at the end of the current quarter. Market demand increased rapidly in the second half of the quarter as a result of higher production activity in the automotive sector. Last year’s first quarter margins had wider spreads between average selling prices and material costs as lower priced inventory was sold in a rising price environment. However, this quarter we did not have the big volumes or higher selling prices. Weak economic conditions continued across all customer groups compared to a year ago. Average selling prices were higher in the prior year due to record high prices of hot rolled steel. SG&A expense declined $11 million due to lower compensation expense and savings across several categories realized from the transformation plan. In metal framing, which represented 23% of revenues this quarter, net sales decreased $138 million from the prior year to $95 million, driven by a 45% decline in volume and lower average selling prices. This segment posted an operating loss of $4 million compared to operating income of $21 million last year. The effect of lower volumes and a tighter spread between selling price and material cost was partially offset by lower manufacturing and SG&A expenses. Manufacturing expenses were lower as a result of savings related to previously announced plant closures, headcount reductions, and variable expenses related to volume. SG&A expense declined mainly due to lower compensation expense and savings from transformation initiatives. Total inventory for the segment stood at 55 days at quarter end compared to 100 days at the end of the prior year quarter. Both steel processing and metal framing have done an excellent job of managing down inventories to meet the challenges of this environment. Lower inventory levels combined with several transformation initiatives should over time help reduce the volatility of our earnings by improving our supply chain efficiency and inventory flow-through. In our pressure cylinder segment, which represented 24% of company revenue, net sales declined 32% to $101 million from a record $148 million in the comparable quarter of fiscal 2009. Volumes declined across most categories, particularly the European industrial and refrigerant gas business, and lower average selling prices contributed to the decline. Units shipped increased 15% due to the addition of the high volume, low priced products from the Piper acquisition. Excluding Piper, volumes were down 6% year over year. The 16-ounce camping cylinders continued their strong performance during the quarter. Operating income fell $13 million from last year to $6 million, primarily due to significant volume declines in the industrial and refrigerant gas business in Europe. SG&A expense increased due to the acquisition of Piper in June. While many economists have declared the recession over, our businesses continue to face economic headwinds. The fact that we made money this quarter in the face of steep volume declines is encouraging. We have a strong balance sheet and have protected our access to low cost capital. This will provide us with the financial flexibility to fund growth as it returns and to take advantage of attractively priced acquisitions, as with Piper Metal Forming and more recently, structural composite industries. Our transformation continues to improve our operating performance across many categories, positioning us to be more efficient and more profitable when our end markets improve. Now I will turn it over to our President, George Stoe, who will provide an update on operations. George.
George P. Stoe: Thank you, Andy. We saw volume improvements during our first fiscal quarter in our steel business. The cash for clunkers program helped to fuel some of this increased demand but we also saw some strengthening in appliance, agriculture, and some specific improvements in construction. It is important to note that although we have seen some improvement in demand, we are still significantly off prior year volume levels. During the second calendar quarter of 2009, the mills were running at a combined rate of 38% of capacity. The extremely low inventory levels in the marketplace, coupled with the modest improvements in demand, have resulted in the mills bringing some capacity back online. Our view of the mills operating rates in the fourth calendar quarter is 64%. This inventory replenishing and improved demand have also led to substantial increases in the price for flat rolled products. Time will tell if the increased demand continues and if the mills brought back too much capacity too quickly. Our view is the November through December timeframe will represent a significant challenge. The commercial construction market continues to be very weak. What work that is available is highly competitive. Our focus remains on maintaining market share while aligning our costs and keeping with the current market realities. During last quarter’s call, we told you that our goal was to have this business remain cash flow neutral. We have done an outstanding job of meeting that objective. Last week we announced a consolidation of our Joliet, Illinois facility into our Hammond, Indiana operation. We will continue to adjust where necessary to maintain our objectives. Our pressure cylinders business remains robust, especially in North America. Conversely, we are experiencing considerable volume pressure throughout our European cylinder operations. We continue to seek investment opportunities within this segment. Our recent acquisitions of Piper and SCI add to our ever-expanding high margin product lines, which include aerospace, medical, and alternative fuels. Our wave joint venture is continuing to operate remarkably well in a challenging environment. Innovation, creativity, manufacturing excellence, and margin management are the hallmarks of this business. We fully expect this business to continue to provide significant operating income for the partners. On another note, Wave’s newest facility in India is still on schedule and begins production next month in October. Controlling costs, improving productivity, and matching our manpower needs to market demand continue to be a major focus. We have commented on previous calls about our transformation efforts. We continue to identify and realize significant savings from these efforts. We believe that these efforts have played an important role in mitigating the effects of the downturn in volumes across all of our businesses. Our safety performance is something of which we are extremely proud. We have had five consecutive years with declining recordable and lost time incidents. So far, our fiscal 2010 is on pace to add a sixth year to this impressive string of success. I visited our facility in Hutchins, Texas last week. This facility was once again receiving our Chairman’s award. To be eligible for this award, a facility must operate for a complete calendar year without a recordable or lost time incident. The remarkable thing about this facility is they have now operated for more than four years without any type of incident. This is a tremendous accomplishment and a real tribute to our employees who are fully engaged and committed to our safe work philosophy. I will now turn the call back to John McConnell for final comments.
John P. McConnell: Andy and George, thank you. As I said in the opening, we are proud of our first quarter performance and we are proud of our people and their passion to improve. We continue to drive increased operating efficiencies and lower cost in all of our businesses. We also took several actions during the quarter to improve our position going forward. We made two acquisitions during the quarter of giving our cylinder business new market opportunities and we opened a new steel processing facility in Monterey, Mexico, providing our [inaudible] joint venture access to this growing region. And we announced Pro Stud Framing System into the metal framing market. This new product, co-developed with Clark Western, provides the benefits of greater strength and lighter weight of our ultra steel product but without dimpling the material which frankly some customers simply didn’t like. In the short run, we expect to see a traditional slowing of our markets in late November and bottoming in December. We are optimistic, however, that coming out in the opening months of 2010, we will see small but consistent gains in market demand month over month. We will be happy to answer any questions you have at this time.
Operator: (Operator Instructions) Our first question comes from Mr. Richard Arch at Torino. Your line is open.
Richard Arch - Torino: A couple of questions -- number one, just looking at the steel business, it looks like there was a good improvement on costs there, which translated into higher margin per ton. Was that mainly operational efficiencies from the transformation plan or was there any mix or price differences which helped improve those?
John P. McConnell: It largely comes from the work of the last year-and-a-half in our transformational efforts and improving efficiencies. The rework of how we go about getting our jobs done here in the steel company reflects probably a 10% decrease in permanent employment needs going forward due to those efficiencies, so that was a large part of it. Andy, do you have any other color or --
B. Andrew Rose: No, I think that covers it, John.
Richard Arch - Torino: Great, okay. And also in terms of demand, you mentioned a little bit about commercial construction remaining weak. Any other color on any of the other end markets beside the autos?
John P. McConnell: I think not beyond what we said already.
Richard Arch - Torino: Okay. And then finally I just wondered if you could talk a little bit about the SCI acquisition, which should be closing soon, and that should probably be reflected in the next quarter. How do those products compare to the existing product line? And also in relation to the Piper acquisition, maybe compare how those two will impact the business going forward?
John P. McConnell: George is going to largely answer this but again, as I just said, the good part for us these are new markets for us and new opportunities. As you know, someone who does an excellent job of looking for operating efficiencies and effectively penetrating markets.
George P. Stoe: I think the best thing to say about the SCI acquisition is it’s really a new product line for us, the fact that it is pressure cylinders that are carbon fiber wound, that are lightweight that are used for a variety of applications. Some of the things that would be in aerospace where they are used to hold oxygen in airplanes, also to propel emergency slides in airplanes. Another application is also breathing apparatus, lightweight breathing apparatus for firefighters so they are not carrying a heavy pack around with them. And on the Piper acquisition, that is primarily aluminum products and medical oxygen is one of the products that they are involved in. They also make paintball cylinders. And then there’s a whole series of other non-cylinder type products that they make at that facility, small extruded products that are used for a variety of things.
John P. McConnell: And one addition on SCI is the potential for propane or natural gas to be used as the alternative fuel in cars. They are one of the leading manufacturers of tanks in that application at the moment, so to the degree those fuels are the ones that kind of win the day in the emissions race, then we will be a beneficiary to that as well.
Richard Arch - Torino: Thank you.
George P. Stoe: Just as a side note, that acquisition is closed.
Richard Arch - Torino: Okay. Thanks a lot, guys.
Operator: Luke Folta of Longbow Research.
Luke Folta - Longbow Research: First question on the Piper acquisition -- are you able to quantify for us what the impact was on the first fiscal quarter, from a profitability standpoint?
B. Andrew Rose: The first fiscal quarter, it probably contributed a slight loss. It would be less than $1 million, although I don’t have the exact number in front of me.
Luke Folta - Longbow Research: Okay, and then as I recall, you exited the quarter profitable in that business -- is that correct?
John P. McConnell: The cylinder business in home?
Luke Folta - Longbow Research: The Piper business.
B. Andrew Rose: That by the end of the quarter is sort of what we believe would be the inflection point for that business, where it does turn into a profitable business for us.
Luke Folta - Longbow Research: Okay, and on the steel processing side, were there any FIFO gains to speak in the first quarter?
B. Andrew Rose: We don’t have an exact number for you, Luke. I will tell you that it had a limited impact on the quarter. You know, because of our -- the timing of our quarter and the inflection point was actually just in the middle, right around the July timeframe, so we had some FIFO losses earlier in the quarter and we had some FIFO gains in the end of the quarter and the net effect is not significant, we don’t believe.
Luke Folta - Longbow Research: Okay, and just regarding steel availability, have you -- has there been any improvement recently in the availability for [inaudible] product, particularly on the value-added side, with some of the capacity coming online?
John P. McConnell: We expect that it will but I’d say it hasn’t really shown up yet. The mills continue to work to catch up to a variety of different types of materials that are needed but it certainly will increase availability probably over the next month.
Luke Folta - Longbow Research: Okay, and just one final one, if I could, guys, is just the whole China situation with import spreads seem fairly attractive at this point. Do you think that that’s a -- are you starting to see any offers increase or do you think this will be something that impacts the North American market at some point in the near future?
John P. McConnell: It’s something we continue to watch and monitor. Of course, a lot of the products we use still have restrictions on them coming into North America, so -- but we will continue to keep an eye on it and you will probably see it in different products other than ours in steel consumption in the United States.
Luke Folta - Longbow Research: Okay, well, thanks a lot guys and good luck [inaudible].
Operator: Your next question comes from Mr. Charles Bradford, Affiliated Research Group. Your line is open?
Charles Bradford - Affiliated Research Group: Good morning. What are you seeing on flat rolled steel pricing these days? [We are] hearing a number of stories very recently about the lead times actually coming down some and prices beginning to keel over. What are you seeing?
John P. McConnell: I would say that that’s -- we don’t see the price of steel dropping dramatically in any sense of the word at this point. Where we see tightness in the market, it remains in more the specialty grades that we deal in quite heavily and some grades, as you said, are loosening up at this point.
Charles Bradford - Affiliated Research Group: The comment, your previous comment about the mills beginning to catch up -- would that be more of the integrated mills or the minis?
John P. McConnell: I believe it is both.
Charles Bradford - Affiliated Research Group: Thank you.
Operator: Chris [Haverland], Davenport & Company.
Chris Haverland - Davenport & Company: I wanted to see with all the restructuring in the metal framing segment what the operating rate was in the fiscal first quarter.
B. Andrew Rose: That’s a number we don’t have handy at the moment. We might have it here in a couple of minutes.
Chris Haverland - Davenport & Company: Okay, well I’ll move on, I have a couple of others here -- in the past, you all have talked about substitution to wood from steel in the metal framing segment and given recent relative price improvement in steel prices, I just wanted to see what you all are seeing there.
John P. McConnell: Well, I would say that at the moment, it’s much the same view that we portrayed in the past -- anything under four stories typically is going to wood at this point because the price differentials. Of course generally there’s just not a lot being built right now. We continue to look at ways to improve the efficiencies of our system to help offset those price differences but right now, that would still be the case in anything under four stories.
Chris Haverland - Davenport & Company: Okay. Looking at the quarter to quarter improvement in the Wave JV, can you just talk about what might have happened there that caused JV income to nearly double from the fiscal fourth quarter?
John P. McConnell: This has always been a stellar performing unit. They certainly exceeded what their expectations were for the quarter as well. I’m not aware of any particular incident or any particular [inaudible] to tell you why they were strong other than they are very good at what they do. George, do you have any other insights?
George P. Stoe: I would add to that that obviously their business is made up -- a significant portion of their business is really remodel rather than new construction, so that certainly helps them going forward and they’ve -- I mentioned in my comments one of the things that they have been really stellar at is margin management and buying steel, operating efficiently and effectively and turning that into significant profit.
Chris Haverland - Davenport & Company: Okay, and then one final question here -- Andy, in your comments I think you had said that in the steel processing segment, you saw market demand increase rapidly in the second half of the fiscal Q1 and I just wanted to see if that has been sustained into -- that demand level has been sustained into September and kind of what your feeling is going into October before you should get a seasonal downturn in November.
B. Andrew Rose: Order books are pretty good to the timeframe you mentioned. November of course is out there a little bit but definitely sees a fall-off and December, we wouldn’t expect to be booking up too much right now.
Chris Haverland - Davenport & Company: Okay. But is it fair to assume that you are sustaining those operating rates into the September/October timeframe?
B. Andrew Rose: Yes.
Chris Haverland - Davenport & Company: Okay. All right, that’s it. Thank you.
Operator: Mark Parr, Keybanc Capital Markets.
Analyst for Mark Parr - Keybanc Capital Markets: This is Phil for Mark. I just have a couple of questions to ask you, kind of on the heels of the last question, can you give us any sense of the month-to-month progression in the steel processing volumes, meaning June, July, August, what type of numbers we are looking at?
John P. McConnell: You saw a strengthening throughout that period of time that is holding pretty steady again in through the October timeframe and then it starts to fall off and again it’s kind of early in those booking months, so we’ll see how they develop.
Analyst for Mark Parr - Keybanc Capital Markets: Okay. I was just looking for any clarity you could give me on a number in those months, but okay. And also in the Wave, should we be looking for a similar performance sequentially in that business?
John P. McConnell: I do not know what their forecast is going forward.
George P. Stoe: I think they believe that volumes are going to come down some again but not nearly to the extent that we are seeing in the metal framing side, so I think they are looking at volumes being down in the 10% to 15% range.
Analyst for Mark Parr - Keybanc Capital Markets: Perfect. Thanks, guys.
Operator: Your next question comes from [Chyan Gochon] of Citadel Investment Group.
Chyan Gochon - Citadel Investment Group: Two questions -- first in your -- in the steel processing business, what percentage of the current quarter’s order book would you say is direct automotive business?
John P. McConnell: I think it’s about 50%.
Chyan Gochon - Citadel Investment Group: Okay. And the second question is in the metal framing business, can you give us some more color on what you are seeing in the backlog trends and also your release mentioned a competitive pricing -- are you fully being able to recoup changes in galvanized costs or could you see the potential for some margin compression in the next couple of quarters?
John P. McConnell: Generally in the overall direct selling in the marketplace, I think margins are holding fairly well. They’ve come down maybe a skooch but not much. Do you have any other color you want to throw in with that? I mean, we have been very clear -- we see volumes in commercial construction likely to continue to deteriorate over time. We are not looking for a huge rebound here in 2010 by any stretch of the imagination.
Chyan Gochon - Citadel Investment Group: Okay. Thank you.
Operator: Luke Folta of Longbow Research.
Luke Folta - Longbow Research: I just had a quick follow-up -- we spoke before regarding your metal framing business and you had said that you had some success imposing some higher standards regarding quality on the dry wall side of the business and that’s had some positive impact on industry pricing and that the thought would be that you would be able to also have some success here on the structural side. Can you give us an update on your progress there?
George P. Stoe: I think that we’ve got that backwards -- it’s really we had success initially on the structural side in driving compliance into the marketplace and I think that the major competitors we have have all embraced that philosophy and I think that we’ve done a good job with that. I think the next goal is on the dry wall side and I think that we expect to get similar success in that arena as well.
Luke Folta - Longbow Research: Okay, great. Thanks a lot.
John P. McConnell: In response to one of the questions earlier about capacity utilization in metal framing, there’s a couple of different ways to look at it. If you look at the business on a 24-7 basis, we think it’s been sort of 30% to 40% range, in terms of capacity utilization.
Operator: Your next question comes from Chris Haverland, Davenport & Company.
Chris Haverland - Davenport & Company: I have a quick follow-up here. Last quarter you all had talked about, in the metal framing segment, a competitor increasing prices and I just wanted to see if that price increase stuck and were more announced, and if you can just kind of give us any color about pricing trends in this segment.
George P. Stoe: I think as John mentioned earlier, the pricing in that product line has not been the problem. It’s really been volume. I think that the reality of steel prices going up, everybody is following suit and trying to push those prices into the marketplace and I think we’ve been reasonably successful in keeping pace with the increased prices of steel going forward.
Chris Haverland - Davenport & Company: Okay, thank you.
Operator: Tony Rizzuto, Dalman Rose & Company.
Tony Rizzuto - Dalman Rose & Company: Thank you very much. I kind of joined the call a little bit late but did you guys discuss the prospects for hot rolled and cold rolled steel, and what you are seeing in terms of pricing right now?
John P. McConnell: It’s been brought up a couple of different times. I think what we haven’t seen is the mills back off their announced pricing and as George said in his comments, they’ve brought on more capacity, we’ll see where demand drives them to and then the calendar side of that question is what kind of discipline the mills maintain amongst their other competitors and whether they hold prices up regardless of demand.
Tony Rizzuto - Dalman Rose & Company: Okay.
George P. Stoe: Tony, it’s good to hear from you.
Tony Rizzuto - Dalman Rose & Company: Yes, George. Can you guys talk -- where are the current -- where do you see the spot market right now as you look at the flat rolled prices?
John P. McConnell: I would say that it’s generally $550 to $600 a ton is generally the numbers that are out there.
Tony Rizzuto - Dalman Rose & Company: All right. Thank you very much, gentlemen.
Operator: (Operator Instructions) I currently have no questions queued up.
John P. McConnell: Okay. Thank you, everybody for joining us this morning. We will continue to drive greater efficiencies and continue to take out costs and find new markets that we can continue to sell products into that we have as well as looking for products that we can acquire to come into the fold at Worthington. We will look forward to talking to you next quarter.